Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2016 CF Industries Holdings Earnings Conference Call. My name is Danielle, and I will be your coordinator for today. At this time, all participants are in a listen-only mode. We will facilitate a question-and answer session towards the end of the presentation. I would now like to turn the presentation over to the host for today, Mr. Dan Aldridge, Director of Investor Relations. Sir, please proceed.
Dan A. Aldridge - CF Industries Holdings, Inc.: Thanks, Danielle. Good morning, and thanks for joining us on this conference call for CF Industries Holdings Inc. I'm Dan Aldridge, Director of Investor Relations. And with me are Tony Will, our President and Chief Executive Officer; Dennis Kelleher, our Senior Vice President and Chief Financial Officer; Bert Frost, our Senior Vice President of Sales, Market Development and Supply Chain; and Chris Bohn, our Senior Vice President of Manufacturing and Distribution. CF Industries Holdings, Inc. reported its second quarter 2016 results yesterday afternoon, as did Terra Nitrogen Company, L.P. On this call, we will review the CF Industries' results in detail and discuss our outlook referring to several of the slides that are posted on our website. At the end of the call, we'll host a question-and-answer session related to the company's financial results for the quarter. As you review the news releases posted on the Investor Relations section of our website at cfindustries.com and as you listen to this conference call, please recognize that they contain forward-looking statements as defined by federal securities laws. Actual results may differ materially from those projected as a result of certain risks and uncertainties, including those detailed on slide two of the accompanying presentation and from time-to-time in the company's Securities and Exchange Commission filings. These forward-looking statements are made as of today and the company assumes no obligation to update any forward-looking statements. This conference call will include a discussion of certain non-GAAP financial measures. In each case, a presentation of the most directly comparable financial measure calculated and presented in accordance with GAAP and coinciding reconciliation of the non-GAAP financial measure to the most directly comparable financial measure calculated and presented in accordance with GAAP is provided in the earnings release and the slides for this webcast presentation on the company's website, www.cfindustries.com. Now, let me introduce Tony Will, our President and CEO.
W. Anthony Will - CF Industries Holdings, Inc.: Thanks, Dan, and good morning, everyone. Last night, we posted our financial results for the second quarter of 2016, in which we generated EBITDA of $329 million. Adjusted EBITDA was $342 million, after taking into account unrealized mark-to-market hedging gains, costs related to the termination of the OCI transaction, net foreign currency losses on intercompany loans, and expenses related to the capacity expansion projects. Included in these results and not adjusted for is a realized loss on natural gas hedges of $61 million. For the first half 2016, EBITDA was $536 million, while adjusted EBITDA was $642 million, after taking into account the same factors as for the second quarter. The first half results include a realized loss on natural gas hedges of $117 million, which was not adjusted for. So, even with the challenging conditions in the global fertilizer market, our underlying business performance remains strong. Before turning the call over to Bert and Dennis to give details on the quarter, I want to provide some observations and thoughts about the nitrogen market, and our response to current industry conditions. There are some industry elements that are more structural and permanent in nature, while others tend to be more temporal. Fortunately, the elements that are structural tend to be strengths and benefit CF. These include: the global nitrogen demand continues to grow at roughly 2% per year so there is strength underpinning our industry; natural gas represents about two-thirds to three-quarters of the cash cost of producing nitrogen; and North America has a long-term natural gas cost advantage. North America is one of the largest nitrogen consumption regions, where demand far exceeds domestic supply, and therefore, it's heavily dependent upon the imported products. CF is the world's low-cost nitrogen leader with the largest North American interior production and distribution system. CF's nutrient ton production will increase by more than 25% in the next few months and, as a result, CF has the enviable position of being structurally advantaged and one of the profitable nitrogen manufacturers in the world with significant growth imminent. However, the industry is under pressure, facing several significant challenges. Fortunately, these issues tend to be more transitory in nature, and include: the nitrogen industry is in the state of significant overcapacity with additional new capacity yet to still come on stream through 2017. However there is little to no new capacity additions currently in flight beyond 2017, and with underlying demand growth in nitrogen, the global supply demand balance should start to resolve beginning in 2018. The combination of excess nitrogen capacity with lower global energy costs, coupled with devaluation of certain key currencies and assisted by low transoceanic freight, have led to the dramatic fall in nitrogen product prices. We expect this situation to persist in the near-term with prices under continued pressure for 2017. However, even in these conditions, CF enjoys greater than 30% gross margins. I want to pause for a moment and reemphasize this last point. We operate in the commodity business and, even in the face of significant industry overcapacity with prices that have cratered, CF Industries was able to deliver first half 2016 gross margin of 35%. How was that possible in a commodity industry, you might ask. The answer is, although the global cost curve has widened with new capacity additions and has flattened because of lower global energy costs, it is certainly not flat, far from it. North America producers still enjoy a very significant advantage. With our realized price of urea at roughly $250 per ton in the second quarter and gas around $3 per MMBtu, the typical North American producer earns approximately 50% cash margin on incremental production. The takeaway here is that not all commodities are created equally and we occupy the very advantaged position within the nitrogen industry. Current industry conditions are at a level that we believe is unsustainable over the medium-term. Pricing is below cash cost for a significant amount of total global production, and industry profitability in many regions is too low to support normal maintenance and turnaround activity, let alone equity returns, and certainly well below that required for investments in new capacity. This situation is leading to curtailment or permanent closure of high cost production. China alone has announced closure of over 4 million tons of urea, since the first quarter and over 7.5 million tons year-to-date, with utilization rates currently around 60%. Similarly, producers in countries with relatively high costs such as Lithuania, Hungary, and the Ukraine have utilization rates under 60% as well. The net result is that, although we expect difficult industry pricing conditions to persist through the next year, the lack of meaningful new construction activity after 2017 coupled with expected capacity closures is expected to lead to price recovery beginning in 2018. Against this backdrop, CF's long-term strategy remains unchanged, which is to: focus on operational excellence by being the safe, efficient, reliable operator of our assets, while maximizing returns by leveraging our world-leading production and distribution network; grow our cash flow per share by delivering accretive initiatives with returns well above our cost of capital; and maintain investment-grade ratings and a strong balance sheet, after which excess cash is returned to shareholders through dividends and share repurchases. Our plan over the next 18 months is consistent with our longstanding strategy and addresses the current challenging industry environment. Specifically, we will complete and start up our major expansion projects at Donaldsonville and Port Neal. At Donaldsonville, we have fired up the reformer and expect ammonia production to begin during this quarter. At Port Neal, offsites and utilities are complete and operational, and ammonia production is expected to begin late-third quarter or early fourth quarter, with the urea plant to follow closely thereafter. We will reduce annual CapEx to less than $450 million starting next year. This level of spend allows for continued safe, reliable and compliant operations, while reducing discretionary spending and conserving cash. We will reduce our controllable expenses, and we'll maintain a strong balance sheet by preserving cash. To do this, we have suspended our share repurchase program, and we will be in a position to delever in 2018, when $800 million of debt matures. Now, let me turn the call over to Bert and Dennis, who will discuss our performance for the quarter and our outlook in more detail. Bert?
Bert A. Frost - CF Industries Holdings, Inc.: Thanks, Tony. Given the challenging market for nitrogen, we are pleased with our sales results from the quarter, as they demonstrate the active role we take in responding to shifts in global supply and demand, market opportunities and customer needs. The lower pricing environment of the second quarter was driven by global oversupply, with an excess of tons targeted to the U.S., despite NOLA and Tampa trading below international parity. In North America, the quarter began with solid demand at the beginning of April that helped to support selling prices. The strong run we witnessed in March for ammonia applications resulted in a portion of seasonal demand being pulled forward into the first quarter, which had a negative impact on the volume of second quarter ammonia shipments. The positive pricing position during the first quarter lasted for approximately three weeks into the second quarter, after which pricing moved steadily lower for all products. In early April, it was a tale of two Corn Belts in the U.S., with western farms planting on time, while the eastern states were hampered by several weeks of wet and cold weather that delayed fertilizer applications in the middle of the season. This delay allowed wholesalers and traders a window to import additional product and supply eventually exceeded demand. As a result, pricing fell throughout the quarter and hit levels that did not appear to make economic sense. By the middle of the quarter, wholesale liquidation took place, pushing prices even lower, with importers struggling to generate cash positive returns. The combination of additional imported product and subsequent liquidation pressured the urea barge market down below $200 per short ton FOB NOLA by early May. By the end of the quarter, the NOLA value for urea had fallen to just below $175 a short ton. Against this backdrop, the company's realized price for urea during the second quarter was $247 per short ton, a significant premium to prices reported at the U.S. Gulf. CF also responded to changing conditions by actively leveraging our scale, efficiency and expertise in distribution, targeting new alternative destinations and logistical options. Our fleet of over 5,500 railcars and 32 barges is complemented by over 2.5 million tons of North American storage and access to both the NuStar and Magellan ammonia pipelines. The recent completion of our re-injection terminal at Garner, Iowa affords us new flexibility in how we move ammonia throughout the pipeline. By gaining the ability to reinject ammonia at this site, it allows our teams to instantaneously transport product from the western Corn Belt to the eastern Corn Belt, which is a tremendous benefit to have, as Port Neal comes on later this year. In rail, we are identifying new approaches in how we can better transport additional volume. In the prior year, our teams did not have a single unit train depart the Donaldsonville site. In 2016, however, we have loaded 19 unit trains to-date. For those who may not be familiar with shipping, unit trains become increasingly economical as the volume transported increases. And with the capacity expansion projects coming online, we have leveraged that additional volume to our benefit. Additionally, the recent drafts of the Surface Transportation Board's language on competitive switching are encouraging and present additional opportunities to streamline rail distribution routes and reduce costs. Our team also responded to changes in the domestic fertilizer business through our ability to switch production quickly and safely from one product to another. As I described earlier, imports continue to pressure NOLA urea prices late in the quarter. However, during this time, UAN was trading at a premium to urea on a nitrogen equivalent basis. We responded to this opportunity by pivoting our capacity to maximize our UAN production at the expense of urea. As a result, we were able to better capture the nutrient basis differential that was priced into the market at that time. This helped to improve our average price per ton for UAN, which was $202 per short ton for the second quarter of 2016. Many of our investors have heard us describe this capability that's built into our system before. And the second quarter was a prime example of our production and distribution flexibility in action. In aggregate, the combined result of an increased focus on system-wide maximization was healthy price realizations across the three major products: ammonia, urea, and UAN, that were notably higher when compared to the reference published prices at NOLA and Tampa. We believe that 2016 denotes the high-water mark for urea capacity additions globally. And we do not expect any new capacity to be added to the global system beyond 2017 and into the foreseeable future. As we have said many times, farmers must apply nitrogen every year to feed the world. As such, global demand for nitrogen continues to grow at an approximate rate of between 1.5% and 2.5% per year or the equivalent of 2.7 million metric tons to 4.6 million metric tons of gross urea capacity. While this continued demand growth will absorb excess supply in the coming years, as Tony said, we see tangible evidence today that suggests that additional rationalizations should continue to occur throughout the global system. In the current pricing environment, estimates indicate that, despite the decrease in the cost curve, many global nitrogen producers are estimated to be operating at or near their variable costs. The result thus far has been more than 8 million short tons of global urea capacity that has been shut down in 2016 with the vast majority of that capacity located in China. The steady decrease in Chinese operating rates to the lowest point in more than four years support this observation. In periods of decreased domestic pricing, Chinese producers have historically looked at the export market. However, the trailing 12-month average of their exports has declined steadily, since its peak in July of 2015, when prices globally were notably higher than they are today. Accordingly, Chinese exports are expected to reach full year volume of approximately 9 million metric tons to 10 million metric tons in 2016 compared to more than 14 million metric tons exported in 2015. Domestic prices in China are down approximately 30% year-over-year. And at a price of $195 per metric ton FOB China for export, we estimate that up to half of the urea industry in China is unprofitable. Moving on to the North American natural gas market, April Henry Hub cash prices began the second quarter below $2 per MMBTU, aided by a warmer-than-normal first quarter. Cash prices traded as low as $1.71 per MMBtu in mid-April, primarily due to a healthy storage balance and reduced demand coming out of winter. After ending the withdrawal season with nearly 2.5 Tcf in storage, strong demand and production declines contributed to a slower-than-normal start to the injection season. Throughout the quarter, natural gas prices have trended upward with smaller than average storage injections and forecast for a warm summer contributing to the increases. On June 30, natural gas traded at $2.93 in the cash market, an increase of $1.22 per MMBtu from the quarter low. With that, let me turn the call over to Dennis.
Dennis P. Kelleher - CF Industries Holdings, Inc.: Thanks, Bert. In the second quarter of 2016, we generated $329 million of EBITDA and earnings per diluted share of $0.20. Included in these results were, on a pre-tax basis, approximately $211 million in unrealized net mark-to-market gains on our natural gas derivatives, $165 million in transaction costs, mainly comprised of the termination fee of $150 million paid to OCI, $38 million of net foreign currency losses related to intercompany loans, and $19 million in expansion costs for our Donaldsonville and Port Neal facilities. When taking these items into account, our adjusted EBITDA for the second quarter was $342 million, and our adjusted net earnings per diluted share was $0.33. Included in these results is a realized loss of $61 million or $0.75 per MMBtu on our natural gas hedges for the second quarter of 2016. During the second quarter of 2016, the company did not enter into any additional natural gas hedges. In 2017, we expect to receive a refund of approximately $690 million related to the carryback of certain U.S. tax losses from the current year to prior tax years associated with the bonus depreciation provision of the PATH Act. The amount of this refund is dependent upon the timing and completion for certain capital projects. As of June 30, 2016, our prepaid income taxes were $855 million, including approximately the $690 million related to the carryback of these U.S. tax losses. The effective tax rate for the second quarter was 53.2% and was impacted by the following items. First, we've recaptured the manufacturing profits deduction we took in 2014, when we decided to carry back current tax losses to that year. Second, we established a valuation allowance against certain differed tax assets related to our foreign operations. These were partially offset by the deduction of previously capitalized OCI transaction costs. The net effect of these three items is about a 20% increase in our tax rate. Excluding these items, our tax rate for the second quarter would have been closer to the statutory rate of 35%. Interest expense for the second quarter was $61 million and included the following: $76 million in interest on our outstanding debt, plus $32 million in amortization of loan fees, which included amounts related to the terminated bridge loan associated with the OCI transaction, less $47 million in capitalized interest. The first distribution from CF Nitrogen to CHS, under our strategic venture with them, occurred on August 1, 2016 for $75 million. This total is comprised of approximately $30 million related to the partial first quarter of 2016, during which the strategic venture commenced and approximately $45 million related to the second quarter of 2016. If you recall, each quarter, we've recognized a non-controlling interest amount related to this investment, which for the first quarter was $17 million, and for the second quarter, was $23 million. However, the cash distribution payable semiannually to CHS maybe different from the amount recorded as non-controlling interest in any given period based on the terms of our agreements, which in effect provide producer economics to CHS. For 2016, the company expects to have total capital expenditures in the range $2 billion to $2.2 billion, of which $1.6 billion to $1.7 billion will be for the capacity expansion projects, and $450 million to $500 million for sustaining improvement and other projects. The increase in project spend is mainly related to labor productivity issues with third-party contractors. For 2017, we expect capital expenditures to be in the range of $400 million to $450 million. This will focus on sustaining capital to ensure our plants and facilities operate in a safe, complaint and reliable fashion. As Tony mentioned, we are reducing discretionary capital expenditures, sustaining a strong liquidity position, and maintaining and defending our investment-grade credit ratings. On July 29, 2016 the company amended its senior unsecured revolving credit agreement to reduce the size of the facility from $2 billion back to the $1.5 billion in place prior to the announcement of the OCI transaction, and to increase the maximum total net leverage covenant from the third quarter of 2016 to the fourth quarter of 2017. We have provided a schedule in the press release that goes over the details. This will provide us with additional liquidity and flexibility, should be needed. We are also in the process of seeking a similar amendment from our private placement note holders. As of June 30, 2016, we were well in compliance with all covenants on our indebtedness. The amendment we have made to our revolver and the amendment we are seeking to make to our private placement notes reflect the prudent and proactive manner in which we manage our capital structure. Additionally, we have been making reductions in our controlled book costs by managing down activity in M&A and information technology, along with a reduction in third-party plant-level contractor expenses. With that, Tony will provide closing remarks, before we open the call to Q&A.
W. Anthony Will - CF Industries Holdings, Inc.: Thanks, Dennis. CF's business model, assets, and team are resilient. Although falling energy prices, capacity growth and currency devaluations have created an extended period of low prices, CF's structural advantages continue. Ultimately, we believe higher cost capacity will shut down, leading to a recovery in nitrogen prices and margins. We remain among the lowest cost nitrogen producers in the world, have significant eminent growth in the next few months, and have advantaged access to the world's largest consumption regions. Our business remains strong, and we have a bright future ahead. With that, we will now open the line to your questions. Danielle?
Operator: Thank you. As a courtesy to others on the call, we ask that you limit yourself to two questions. Should you have additional questions, we ask that you reenter the queue. We will answer additional questions, as time allows. And our first question comes from Chris Parkinson from Credit Suisse. Your line is open.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Perfect. Thank you very much. There's been a little more noise surrounding some of the various summer field programs this year, particularly on UAN. Just what's your assessment thus far on volume commitments? And do you feel that some of your competitors have been more aggressive than in past years? Just any general remarks would be very helpful. Thank you.
Bert A. Frost - CF Industries Holdings, Inc.: Hey. Good morning. The summer field program was different than in previous years. We launched it much later than normal, and that was on purpose. We have been following and talking with our retailer and customer friends, and realized that the desire to take on additional products late in Q2 was just not there. And we have the capability to manage our system, like I said earlier in my prepared remarks, with different production levels at the plants as well as inventory and exports, and that's what we did. And so we ended up launching the program late in July, where normally it's been a June launch, and that afforded us the opportunity to participate more in the end market, tail-end of the application season in a higher net back position was the result. But it also allowed our customers not take maybe a month to a month-and-a-half of additional product into their inventory, when they weren't prepared to do so. So looking at this year and where we are on volume for the field program, our program at first was received a little coolly. Our prices probably were higher than what the market had anticipated, but as we've rolled it out and had conversations with our customers, it has been received better, and we have been taking on orders, and we're already shipping against some of those. And so, what we look towards is, the program was not designed to be as big as it had been in the past. We expect that there will be an improved market and we want to participate in that market as we roll forward. And so we have taken on an acceptable amount of volume and we will continue to do so, as we go. And regarding the competitors and other people, I think there were some competitors who just weren't able to wait as long as we did or they maybe saw a different market than we did, and probably received a lower netback than we are. And some of that was also driven by imports. There are imports that come into this market, where we continue to be an import market, and I think will be into the foreseeable future for all of the end products. And I think some of the other producers outside of the United States decided to target some of their shipments probably at lower prices. And so, we'll see that as the end values mature. You will see those coming back closer to their historical range and the market will move forward.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): That's helpful color. Thank you. And just a quick follow-up for Dennis, as we head into 2017, is there anything to think about regarding the cadence of the $690 million in tax refunds? Is that just all contingent on past profitability or forward profitability and what's already been paid in cash taxes? Just any color would be appreciated.
Dennis P. Kelleher - CF Industries Holdings, Inc.: I think our sense of the timing is, it's probably the receipt of it is around third quarter of next year. And obviously, that depends on getting your returns in and all the rest, that sort of thing, but no, there is not really – and then, as I said in my remarks, the actual amount of it is dependent on getting certain equipment online over a certain time period. And so, what the $690 million represents is our best estimate of what that's going to be given all of the factors that you've talked about.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): That's great color. Thank you.
Operator: Thank you. And our next question comes from Joel Jackson from BMO Capital Markets. Your line is open.
Joel Jackson - BMO Capital Markets (Canada): Hi. Good morning. I want to suss out a little more about your commentary that you don't feel that nitrogen price is really going to improve until – I think you said, the end of 2017, as some of the supply additions come on. Can you maybe just elaborate more, are you talking about you don't feel like floor and ceiling prices are going to rise or that you don't think that prices are going to rise much off spot prices? Thanks.
W. Anthony Will - CF Industries Holdings, Inc.: I'll give you a high level, Joel, and then I'll let Bert chime in here as well, but as we think about kind of aggregate price over the year with all the new capacity coming on, and until you see some significant shutdowns and allow that new capacity be absorbed based on underlying demand growth, we think that continues to put sort of a ceiling on where pricing trades for the products over the next 18 months. Now, the things that can change that are, if we see more rationalization sooner relative to the production base that's out there, you'll start seeing recovery more quickly or if you start seeing some more historical deltas in terms of energy prices around the globe that are reintroduced that can also accelerate the rate of price recovery. But I think, our view is, at the end of the day, I think given the status quo assumption about ocean freight and where energy prices are trading, with the net amount of new production that's still coming online over the next 18 months, it's going to be tough sledding here for a number of competitors. We don't see really a catalyst driving prices substantively higher.
Bert A. Frost - CF Industries Holdings, Inc.: Yeah, I agree. Joel, good morning. I think when you look at where we've been in the last six months, with a low of, let's say $165 NOLA to $265 for urea, UAN in the high-$130s to $215, and Midwest ammonia from $300 to $530, we have an actual, a pretty wide spread that has occurred just in the last six months. And I anticipate that that type of spread will continue as we see retailer activity on resisting taking inventory, that opportunity to expand even further the price spread happens. And so, what you see us doing is managing our production, managing our exports, managing our distribution assets, working with our customers. We have contractual commitments as well as spot commitments, to make sure that we're producing at a high level, moving our product, and anticipating some of these swings and capturing some of those. So I don't think you can strip out the lows, and then factor those in for another year and a half, because I do think it's going to be a dynamic market. But as we steadily move into it, and as Tony mentioned, some of these catalysts that are driving some of these changes, currency, freight, gas, petroleum, and then overall demand, which we see increasing, I think they'll improve over time. So I'm positive, but I want to be realistic in how we view the market.
Joel Jackson - BMO Capital Markets (Canada): That was very helpful. And then, my second question would be, one of your large competitors in nitrogen last night indicated that a lot of buyers in North America have – didn't buy product in the summer because of supply additions and they see a lot of pent-up demand in the upcoming application periods. Can you comment on what you're seeing under that light as well?
Bert A. Frost - CF Industries Holdings, Inc.: I can't imagine who that competitor would be that would – no, we saw that comment. And we agree with that perspective, and we're seeing that. Imports coming in are lower, and it's a realistic perspective from a retail outlook saying, I'm not sure as a retailer, I want to take that position. Fine, we say, as a producer, that we will manage our system and we will work with you, our retail friends, to make sure that we supply the product at a comfortable position and risk profile for them, but don't expect those prices to be there when you want to buy. And that's exactly what we saw in the spring, was as demand was pulled forward, prices escalated very quickly, and so that's the dynamic nature of this business that I was speaking of earlier, and that we expect to continue.
Joel Jackson - BMO Capital Markets (Canada): Thank you very much.
Operator: Thank you. And our next question comes from Edlain Rodriguez from UBS. Your line is open.
Edlain Rodriguez - UBS Securities LLC: Thank you. Good morning, guys. Just one quick one, so as you look into next year in the U.S., when farmers most likely are likely to plant less corn and you're going to have more capacity additions coming to the market in nitrogen, how much more you think prices can go down? I mean like, are we getting closer to a floor, where guys will have to shut down very quickly because if volume's coming down, capacity going up, that definitely will put significant pressure on prices?
W. Anthony Will - CF Industries Holdings, Inc.: Edlain, good morning. So a couple of things here, one of which is, over the last few years, even though the amount of planted corn acreage has moved around a little bit, the aggregate amount of nitrogen nutrient tonnage has remained relatively flat. I mean, it's moved by a couple hundred thousand tons here or there, but it has not been a dramatic swing one direction or another. And even with all the new capacity coming online in North America, we will still be a substantial net importer of nitrogen. We'll need about 30% of our total nitrogen requirements to be met from imports. And North American producers are among the lowest cost producers globally. So anyone that's got assets that are producing here in North America are going to run those plants flat out, and if there is trimming to be done on the global scene from a production standpoint, it's going to be in the high cost regions. So it will be the Chinese anthracite people who'll continue to shut down; some of the high cost Eastern European gas countries like, as we mentioned, Ukraine, Lithuania, Hungary, and so forth; and then there are other regions where there is either, sort of, gas availability problems and you see curtailments like in Trinidad, for example, or in other regions where there is political instability, like Libya for example, where you also see some production coming off-line. So, as we look forward, one of the reasons we believe that pricing continues to be under pressure next year is the fact that there is this new capacity that you talked about coming online, but we don't really believe it's fundamentally going to move pricing dramatically lower than, where it sits today, because we already think there is a number of – substantial volume of capacity is already operating below cash cost, so it really can go substantially lower than where we are, and it's certainly not going to affect the operating rates of North American producers.
Edlain Rodriguez - UBS Securities LLC: Yeah, thank you. And one quick one, like, in terms of production, so as we look into next year, when all your plants are up and running, and if you still running at full operating rates, like, how much sales volume, like, in nitrogen will you have available at that stage , let's say, we look at the end of 2017 or so?
Bert A. Frost - CF Industries Holdings, Inc.: If you're asking what will we have available at CF?
Edlain Rodriguez - UBS Securities LLC: Yes.
Bert A. Frost - CF Industries Holdings, Inc.: We run our plants at capacity every day. So we're obviously looking to optimize our production capacity based on ammonia and what's available, and then how we can upgrade which is the higher-margin product for urea, UAN, and ammonia. And so, if you look at the aggregate number, it's going to be just based on our capacity and we will move that product into the global market as well as the U.S., but I'd say 18 million tons.
W. Anthony Will - CF Industries Holdings, Inc.: That's product tons not nutrient tons.
Edlain Rodriguez - UBS Securities LLC: Okay, guys. That's what I was looking for. Thank you very much.
Operator: Thank you. And our next question comes from Matthew Korn from Barclays. Your line is open.
Matthew J. Korn - Barclays Capital, Inc.: Hi. Good morning, gentlemen. Happy summer to you.
W. Anthony Will - CF Industries Holdings, Inc.: You too.
Matthew J. Korn - Barclays Capital, Inc.: So, you've all been pretty consistent in your call, of course, for U.S. natural gas prices to remain low. In your deck, you're laying out this view of what's available at $3.50. I'm interested in your view on the medium to long-term relative natural gas cost in exporting regions like Ukraine, where your cost curve notes in your presentation acknowledges there's been substantial year-over-year compression in the spread versus the U.S. price. How do you regard the threat that a globally more evened out energy price environment could place a cap on your profitably going forward, even once we see some of this excess supply today absorbed?
Bert A. Frost - CF Industries Holdings, Inc.: Yeah, I mean, as we look at the factors, Matthew, that could affect that, one of the big ones is just where Russia Gazprom prices their exports to places like the Ukraine and so forth. There is another one that is kind of how LNG continues to evolve and how much of the new production ends up moving off of, kind of, oil-linked based contracts more onto a spot basis. I think, over time, it's about $3 or $4 to get any sort of reasonable capital recovery on LNG contracts. And so, if you say Henry Hub trades at, kind of, $3, that means LNG importing regions to trade somewhere in the neighborhood of $7 or maybe a little bit above, by the time re-gas and distribute from their end to the production plant. So, as we look forward, our view is, we're likely to be able to enjoy, call it, $4 plus or minus advantage over most of the rest of the kind of importing, or gas deficient regions.
Dennis P. Kelleher - CF Industries Holdings, Inc.: I think, Matthew, the other thing, I think, you necessarily have to look at, when you talk about energy costs, you've really got to kind of look at oil. And what we do know is, with the low oil prices that we've seen, you've seen oil exploration drop off by major oil companies. They're not putting the, kind of, money into the deepwater and the Arctic and these more frontier regions that they used to be, in terms of exploration development. In addition to that, we've also seen development activity in North America with respect to onshore oil production come off as well. So eventually, the problem solves itself. The stuff that's on continues to decline, the declines don't get replaced with new projects and, eventually, the oil market straightens out. The question is how far off are we from that happening. Today, it doesn't look like it's near, but certainly at some point, the piper has to be paid, because if investment hasn't gone into the exploration and development, eventually the supply dries up, and the demand has – while the demand is growing.
Matthew J. Korn - Barclays Capital, Inc.: Thanks, Dennis. I appreciate that. Let me ask this then as a follow-up, you actually cover a number of companies that are benefiting pretty substantially from political efforts that have resulted in trade restrictions. And I saw last month that Commerce is moving ahead with its investigation on claimed ammonium sulfate dumping and/or unfair subsidies out of China. What's the potential for you in like the domestic nitrogen industry? This may sound way out there, but to pursue more of these kinds of measures, particularly now that the threshold for, quote-unquote, damage, at the hands of overseas product has been somewhat reduced and the nitrogen for requirement itself is reduced?
W. Anthony Will - CF Industries Holdings, Inc.: Yeah. It's something that we continue to investigate and look at. As you could appreciate, these cases are fairly complex and take a long time to get there. One of the issues of bringing a new damage claim is, the demonstration of financial harm and there is a baseline threshold in terms of profitability and the challenge a little bit is, even though pricing is down, margins are down, profitability is down, our gross margins for the first half of the year were still 35% for the second quarter, over 45%. And the problem is that that level of profitability, the Commerce Department doesn't have a lot of time and interest in talking about the economic harm that we may have suffered. So, something we continue to look at, we probe, but there is not a lot of, I would say, imminent movement likely to happen in that regard.
Matthew J. Korn - Barclays Capital, Inc.: Got it. Thanks very much, guys.
Operator: Thank you. And our next question comes from Sandy Klugman from Vertical Research. Your line is open.
Sandy H. Klugman - Vertical Research Partners LLC: Good morning. Thank you. Slide 17 in the presentation does not exclusively call out India, I was hoping you could comment on how their push for greater self-sufficiency is factored into your estimates. And then post 2016, I might have missed it, but do you have a forecast for Chinese urea exports?
W. Anthony Will - CF Industries Holdings, Inc.: Slide 17...
Sandy H. Klugman - Vertical Research Partners LLC: Sorry, slide 13, where you showed the capacity additions and closures. And maybe India is factored into the other component, but I was wondering if it does factor into the outlook.
W. Anthony Will - CF Industries Holdings, Inc.: Yeah. So, India does show up in other, in both 2015, 2016, and I think in the 2017. But I think there is only one or two plants that we're talking about that are net new capacity that's coming online. So it's not a huge volume of production.
Sandy H. Klugman - Vertical Research Partners LLC: Okay. Great.
Bert A. Frost - CF Industries Holdings, Inc.: When you look at India though, just for a quick comment, they're a huge market at over 30 million tons of consumption with 21 million tons, 22 million tons of that produced and 8 million tons more or less imported. And when you look at the gas constraints, the energy constraints, the power constraints, you have a hard time looking at that as an opportunity to build urea plans, when you can import that at below their production cost and that energy is not being directed to the public's better use. There have been a lot of announcements on new capacity, but most years there are announcements and most years those don't happen.
W. Anthony Will - CF Industries Holdings, Inc.: The other things is, in India, in particular, because there are such heavy subsidies and price controls in place, the return profile that you are able to potentially get there is really subject to government control and there's no guarantees everywhere in a commodity market that's tough enough, even in the places like the U.S. But when you are operating in an environment where the end product maybe subject to pricing controls, where it limits the price that you're able to charge in the domestic market, it's really a difficult thing to get your mind around wanting to put new capital in the ground over there.
Bert A. Frost - CF Industries Holdings, Inc.: A new plant that was built two years ago, that still does not have gas supplied to it and it has not operated. And that's 1.2 million tons urea plant sitting idle. So I have a hard time, with Tony, how can you invest when you don't even have gas for your current plants.
Sandy H. Klugman - Vertical Research Partners LLC: Okay. Thank you. That's very helpful. And just as follow-up, nitrogen advisory services are obviously a key component of precision ag platforms. How do you expect this to impact the application rates? And do you expect it to lead to any change in grower preferences between different grades of nitrogen?
W. Anthony Will - CF Industries Holdings, Inc.: So, one of the things that we see, Sandy, is, across a couple of different initiatives, one of which is, the 4R Nutrient Stewardship programs that have been rolled out, which is to minimize the environmental impact or loss to the environment of nutrients, keep the applied nutrients where they should be in the field and available for the crop, changes around a little bit, sort of, the application, intensity, away from the fall and more of it into the spring and over the course of the spring, instead of just one big dump. But one of the benefits of the targeted precision ag is higher crop densities. And so, if you're going to get the same kind of yield with higher density, you actually need to get an increase of nitrogen application per acre in order to accomplish anything at the grower level. So we do see those trends kind of moving in a direction that is, I would say, net-net positive for us over the long run. It might change the form a little bit or the timing of when that happens from the fall more into the spring, but that's one of the benefits that Bert talked about with our extensive flexible distribution network that we're willing to inventory product and, kind of, take that risk off of the hands of the retailer, and then capitalize on the opportunity, when the application season does come. So, for us, we look at all of those trends as being net positive for a business.
Sandy H. Klugman - Vertical Research Partners LLC: Thank you very much.
Operator: Thank you. And our next question comes from Vincent Andrews from Morgan Stanley. Your line is open.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Thanks very much. Good morning, everyone. Just a question on the Chinese export tariff. The Chinese producers appear to be lobbying the government to reduce it or get rid of it entirely. It seems to me that if they get rid of it, it's just going to lower the price, anyway, but how important do you think that decision is by the Chinese government at this point to sort of indicate their desire or willingness to support the industry or to kind of push it more towards the rationalization and environmental cleanup phase?
Bert A. Frost - CF Industries Holdings, Inc.: What we see, again, from China, every year is a different year, and every year is a different pronouncement or program coming out of China. If you look at the base model of China, we have unsustainable coal prices, unsustainable logistics, unsustainable issues in terms of pollution and just areas surrounding what's being produced and exported. And so they are going to have to rationalize, and we see that taking place with 8 million tons coming off, and we expect additional rationalization and, if pricing remains at its current level, possibly permanent shutdowns. The export tariff is about $12 per ton. So, if today, – and this number has been moving, but Chinese urea is quoted in the $195 to $200 range FOB for granular. And so you cut that price down to, let's say, $185, you're still, one, quality is poor, or less – it's not received as well as our products or some of the products coming out of the Arab Gulf. And so is that enough for them to compete? I don't think $12 is going to get them over the hump to allow them to compete on a consistent basis at the current market. So we expect to see – they need to have rationalizations, their domestic industry cannot support the total capacity they have. So, like Tony said, they're operating at a 60% to 65% operating rate and their exports are trending down. All those are trends that in the lowest cost, probably, position that they will have with, again, coal being low, currency around 6.65 yuan, and so, the only thing probably going forward, I would say, moderating is moderating up on all those issues. So you can get $12 on your export tariff, you're probably going to lose that to raw material costs and freight costs over time.
W. Anthony Will - CF Industries Holdings, Inc.: And in particular, in that regard, the subsidy on electrical used in energy intensive industries is going away as is freight. And so, to Bert's point, we see a number of things that are offsetting to the higher cost side, internal to China, that will either be a net increase in the cost structure in aggregate or at least offset any kind of reduction in the export tariff.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: And then, just as a follow-up, I saw last night, a note that indicated that SABIC is trying to raise urea prices by about $20. Is that something that you're hearing? Do you think that has the ability to stick? I mean, clearly, that region has been the big importer into the U.S. this year?
Bert A. Frost - CF Industries Holdings, Inc.: Yeah. SABIC does a good job. I mean, they move their products all around the world. They have contracts into the U.S. They have contracts into Thailand and Australia, and so they try to ratably move their product around the world. We're seeing – I can't really comment on them raising prices other than that, I think what you're seeing in NOLA, which is our market, the low of $160, $165, we're now at $185 and probably even moving up from that. So prices are slowly moving up. I think that's in recognition of when you look at the UAN and urea comparison, both of those products are trading at a very good value. And actually moving forward with maybe another question, looking at how farmers should be looking at nutrients for fall applications and even spring applications. Yes, corn is down at, let's say, $3.40 for a forward harvest position of corn, but ammonia has moderated equally down, and all the nutrients are down. So on a nutrient basis, it's still profitable to plant, and we see consumption to be fairly strong.
W. Anthony Will - CF Industries Holdings, Inc.: The other issue on that one is, we think that there is such a substantial portion of the global capacity that's operating at or below cash cost that I think somewhere in the range that you're talking about is necessary just to keep supply available over the medium-term anyway. So, I think that's kind of what has to happen over time.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Okay. Thanks very much, guys.
W. Anthony Will - CF Industries Holdings, Inc.: Thanks.
Operator: Thank you. And our next question comes from Jeff Zekauskas from JPMorgan. Your line is open.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Thanks very much. Your interest expense, your book interest expense is running at about $140 million or so a year, ex-non-recurring items. Does that number go up to roughly $300 million next year, when you can no longer capitalize your interest? I understand it doesn't change the cash interest that you pay, but does your book interest go up to about $300 million? And when you receive the $690 million tax refund, are your plans to repay debt with that?
Dennis P. Kelleher - CF Industries Holdings, Inc.: Yeah. I mean, let's start with the first piece, the answer to that is yes. Once we stop capitalizing interest, Jeff, we'll be back around $300 million a year towards expense. As you know, our interest payments quarterly run around $75 million, $76 million a quarter, so that won't change. It just won't be capitalizing anymore and they will start to go to expense. With respect to the cash from the refund, I don't really sort of think of it that way, because cash is all fungible, the cash will come in the door, and it along with the operating cash flow that we generate and other sources obviously, will be used for a whole number of – obviously running the operation and a whole number of other things. But what I would do is just sort of repeat Tony's comment. We're going to build cash on our balance sheet, so we've got the flexibility to take out that $800 million in 2018, if we have to do that to defend our ratings.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Okay. Great, And for my follow-up, I think, (52:27) will bring on about 1 million tons of ammonia in the fourth quarter, with the phosphate operations not really starting up maybe until mid-year next year, do you think that that capacity will make a difference to the global ammonia market or do you think it doesn't make much of a difference?
Bert A. Frost - CF Industries Holdings, Inc.: Well, when you look at the additions to ammonia that are coming on, not just SABIC's, but Dyno's plant in Waggaman, our own, yes, there is additional capacity coming on. Traditionally the Arab Gulf ammonia tons stay in the East. And so supplying South Korea, Japan and some of the caprolactam production there. And so they've done good job of managing their production supply, so any additional supply, you have to watch and see how it goes, I can't give you a number on what that could be.
W. Anthony Will - CF Industries Holdings, Inc.: One of the benefits we have a little bit, Jeff, in that regard which is, the seaborne ammonia trade doesn't directly impact kind of our ag markets, because unless you've got the end market cryogenic storage, which really only the producers have, you otherwise can't move anhydrous ammonia from the Gulf or from Tampa, up into the Corn Belt. And so, while it affects some of our industrial-based contract business, it doesn't really affect our ag business that much.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Okay. Good. Thank you so much.
Operator: Thank you. And our next question comes from Don Carson from Susquehanna. Your line is open.
Unknown Speaker: This is Ben Richardson (54:06), sitting in for Don. Wanted to ask a question about the timing of your startups and how that might affect mix, both the Donaldsonville facility and the Port Neal facility.
W. Anthony Will - CF Industries Holdings, Inc.: So the upgrades are running at Donaldsonville currently. And so when the ammonia plant starts off, that doesn't really affect mix at all. It does add additional new ammonia production to the network. And as you know, we have a pretty sizable supply agreement in place with Mosaic that's going to start up at the beginning of next year. So a big piece of those tons are already spoken for beginning next year in terms of where they're going. Relative to Port Neal, we have the urea plant attached to the ammonia plant, we would expect to run the urea plant absolutely full out, with the excess being some incremental anhydrous that shows up in Port Neal, but generally speaking, we're going to want to run that urea plant flat out. And there isn't a lot of ability to move the mix in Port Neal. There is a couple of the hundred thousand tons, so we can flex back and forth between urea and UAN, but generally speaking, the new plants are just going to come on in and, kind of, run at capacity.
Unknown Speaker: All right. Thank you very much.
Operator: Thank you. And our next question comes from Adam Samuelson from Goldman Sachs. Your line is open.
Adam Samuelson - Goldman Sachs & Co.: Great. Thanks. Good morning, everyone. Maybe first a question for Dennis, I know you talked about preserving cash on the balance sheet to prepare for the 2018 maturity. Is there anything you could do to accelerate that or you got the cash basically sitting there at this point? I know there is a call premium on the bonds, but other options on tenders, or anything like that that you could explore?
Dennis P. Kelleher - CF Industries Holdings, Inc.: Yeah. I mean when we've looked at the 2018 bonds, last time we looked at it, Adam, effectively the make-all provision on it or the premium that it's trading at in the market were roughly about the same. And I think our philosophy is, A, we don't need to do that, and, B, if I'm going to be paying somebody to use his money, then I'm going to use his money. So there really is – there's not really a lot of economics in that and there really isn't a need to do it. I think it's just a matter of having the liquidity available at the time to repay that, if we have to do that to defend our rating.
Adam Samuelson - Goldman Sachs & Co.: Got it. Okay. And then on market, just hoping you could talk a little bit about export out of the Gulf and your ability – how you're doing on driving some increased export opportunities? I would guess UAN is the bigger priority into South America, maybe size what that potential could be over the next 12 months to 18 months, 24 months.
Bert A. Frost - CF Industries Holdings, Inc.: So we have been exploring the export opportunities for the company over the last several years in preparation for the additional capacity that's coming online, and the upgrading capacity already has come online. So this year, you've seen us export all three of the major products, ammonia, urea, and UAN. Smaller for ammonia and urea. And for UAN, we'll hit a record this year and we're exploring all different kinds of markets. We've been shipping product to Europe, to Argentina, as well as opening new markets in Colombia, Chile, and Brazil. And we're excited about the opportunities in South America, because we do believe in the benefits of UAN and that's being received well, and so the growth is there. So, I think you will see us continue to grow those opportunities, but it is weighted against, obviously, netback options and what's best for the company. So, I think urea will grow as we bring the capacity online. If we have a differential again like we've had in the first six months of this year, where the U.S. traded at discount to the international market, then we have a pretty good incentive to export the products out of the United States. So, today, I would say all going well will be less than 1 million tons of total exports for the year out of Donaldsonville.
Adam Samuelson - Goldman Sachs & Co.: That's very helpful. Thanks very much.
Operator: Thank you. Ladies and gentlemen, that is all the time we have for questions today. I would like to turn the call back over to Dan Aldridge for closing remarks.
Dan A. Aldridge - CF Industries Holdings, Inc.: Thanks, Danielle. That concludes our second quarter conference earnings call. If you have any additional questions, please feel welcomed to contact me afterwards. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program, and you may all disconnect. Everyone, have a great day.